David Alan Tyler: Okay, good morning, everybody, good morning. Good morning, and welcome to this presentation on Sainsbury's interim results for the 28 weeks to the 27th of September 2014. I'll just say a few words. Then I'll pass on to John and Mike for the great bulk of this presentation. So underlying profit before tax in the 6-month period was GBP 375 million. That's down 6% on the first half last year. As you know, this result has been recorded in grocery sector, which has become increasingly challenging during this period. We recognize now that we operate in a fundamentally different market than that which was there 3 years or more ago. It has become clearer that this is not a cyclical change. Essentially, it's a structural one. As a result, we've carried out a careful strategic review. And our updated review is a natural evolution of what has gone before, building on what this business is and its real strengths, in food, in nonfood, in stores, in convenience, convenience stores, in digital and, indeed, in new businesses as well. Mike and John will take you through the strategy shortly, an emphasis on our quality differentiation, on simpler pricing and on lower pricing, and all of that funded by lower costs and by reduced capital expenditure. We believe that this will allow us to continue to be a winner in this marketplace. The strategy has been put together with -- by what I believe -- indeed, what the board believes is the very best management team in this sector. We benefit from the huge experience of Mike and John and many other senior colleagues. And we also benefit from the vigor and the new thinking of younger colleagues and those who've joined us from other industries. No one in this sector understand better the customers in this market than our team. Ditto on suppliers, our supply chain, shops, the digital offer, too. So we start from a good place. Let me also just briefly speak about the dividend. Although we're making no change to our interim dividend today, which is 5.0p, we are announcing an updated dividend policy. Our policy will now simply be to have a full year dividend cover of 2x underlying earnings. In other words, we will simply pay out half our underlying earnings per share. And given our expected profitability this year, we therefore expect our full year dividend will be lower than that of last year. Now we have given this matter a huge amount of thought before coming to this decision. We believe it's in the interest of shareholders for us to make this cut because it will free up capital and cash for us to invest in our customer proposition and to look after our balance sheet. And we have to get those things right to underpin the future of this business for shareholders. So that's all I wanted to say by way of introduction. Let me now pass you onto John to take you through the financials. John?
John Rogers: Good morning, everyone. Okay, I think you've got all the usual slides in your pack that we normally go through, but I'm going to take you through the edited highlights so that we can get on to the strategic review as quick as possible. Just taking you through the numbers for the first half. Reporting retail sales, down 1.4% to just below GBP 13.8 billion, and that's delivered a retail operating profit of GBP 388 million, so down 11.8%, reflecting, of course, the negative like-for-likes that we've seen in the first half and also the price investments that we've made. Strong performance from the bank here of GBP 35 million, and of course, you'll see that now on a fully consolidated basis. And the adjustment, of course, has now come out of the joint venture line numbers. Net finance costs of GBP 54 million, slightly better than we expected, delivering a profit before tax of GBP 375 million, and that's a beat to consensus. So consensus for the first half was around GBP 350 million or so. A tax rate of 26.4%, slightly higher than we guided to at the prelims, and I'll go on to explain later on why that's the case, delivering a basic underlying earnings per share of 14.5p, and as David has already confirmed, the same interim dividend as we paid last year. Coming on now to items outside of underlying, a charge of GBP 665 million in total, which is predominantly an impairment on a combination of some of our trading stores and also some of our property pipeline going forward. And again, I'll break that out in more detail later. And that, of course, results in a loss before tax of GBP 290 million. Coming on now to the sales. These numbers will be familiar to you. This is what we reported at our Q2 Trading Statement. So like-for-likes sales decline of 2.1%, offset by 2.1% coming through from our new space such that total sales growth, flat at year-on-year. Of course, a contribution from our extensions of 0.2%. And we reiterate the guidance that we gave at the Q2 Trading Statement. We expect second half like-for-likes to be similar to the first half and, again, a contribution from new space of around 2%. So no change in our guidance there for the full year. Coming on now to margins. Margin is clearly under pressure given the challenges the sector is facing. Retail underlying EBITDAR, down 1.4% to GBP 982 million. And at the margin level, constant fuel price is down 5 bps again, as I said, reflecting the investment in price and the negative like-for-likes I've just mentioned. And at the operating profit level, we've seen margin decline around 40 bps, and of course, we've been able to offset that decline in part through the cost savings that we've delivered. And I'll talk about those later on as well. Really good performance from the bank. Really pleased with the performance in the first half, a step-up in expectations to where we thought we would be. Total income has increased. We've increased our loan book and our credit card book. And indeed, our profit has gone up 30%, reflecting the growth in the business and also a change in our funding. We've been funding -- moving away from savings balances. We've got access to the government's Funding for Lending Scheme, which has lowered our overall funding costs. And with a good bad debt position, we've been able to deliver 30% growth year-on-year in profit. So really strong performance from the bank. And in fact, we guided at the prelims to broadly flat profit year-on-year. We're now updating that guidance today, reflecting the strong performance we've seen in the bank in the first half, to guidance to expect 10% to 15% growth in underlying profit for the bank for the full year. Coming on now to the items excluded from underlying. You'll see here the impairment charge of GBP 628 million. As part of our strategic review, we've done a really sort of deep-dive exercise looking at our entire store estate. We've projected forward where we think the sector is going in terms of volumes and like-for-likes. And as a consequence of that, we've taken a decision to impair some of our property pipeline, so some stores that we no longer foresee ourselves building out, and also to impair an element of our trading estate as well, about 40 schemes in total for each branch. So 40 schemes in our pipeline, about 40 of our existing stores in our business. You'll see there the transition costs in relation to Sainsbury's Bank of GBP 23 million. Again, that's part of our program to move onto a new banking platform. And indeed, we anticipate we'll spend GBP 50 million in the full year-to-date. That's a slight increase from where we were, what we guided to at GBP 45 million, reflecting the acceleration of the delivery of that program going forwards. Coming on now to interest costs. Interest costs, slightly better than we expected at GBP 54 million, reflecting the low inflation rate on our index-linked debt and also very good working capital management in the half. So we've kept debt levels down, and therefore, we've been able to deliver a lower-than-expected interest rate charge of GBP 54 million. Capitalized interest of GBP 12 million, again, down year-on-year, reflecting the slowdown in our property pipeline, buildout of new stores. So as a consequence of that good performance in the first half, we're changing our guidance for the full year, the previous guidance at the prelims, which we expected flat interest charge year-on-year. Last year was GBP 111 million. We're now changing that guidance to expect interest costs of around GBP 105 million for the full year. Capitalized interest remains the same, guidance at GBP 20 million. Coming on now to the tax rate, 26.5%, a slight increase to the guidance that we gave at the prelims. And that's really as a result of clearly the deductibles that you make on depreciation of fixed. And because of the reduced lower profitability, therefore, the implicit tax rate goes up. And we've also reduced some of our future tax assets as well, which resulted in that effective tax rate going up to 26.5%. And indeed, we're guiding for that same rate for the full year. Cost savings. We talked about cost savings at the prelims of between GBP 120 million and GBP 130 million. We've had a really good half in terms of cost savings, and these cost savings have been delivered across the business through retail, through logistics, through our centralized operations, so really good performance right across the board. We've delivered GBP 75 million of cost savings in the first half, and we are, therefore, updating our guidance for the full year to deliver GBP 140 million of cost savings. CapEx. Again, CapEx, in line with our plan, a total of GBP 562 million. We've accelerated our capital plan this year and for the first half of the year compared to previous years, but the guidance for the full year remains the same. So we expect to spend in the order of GBP 900 million or so on CapEx for the full year. And cash flow. Again, cash flow from operations down slightly because of the reduced profitability. What's really pleasing, we've been able to release a significant quantum through better working capital management in the retail business. And that's as a result of a number of exercises that we've undertaken in the half. Of course, that's offset by increased working capital within the bank. And then you'll see the various adjustments flowing through, including the capital spend charge, of course, such that net debt from the prelims has only moved on GBP 2 million or so. So it's pretty much flat from the prelims. And coming on now to the balance sheet. Property valuations, GBP 11.9 billion, so down slightly on the GBP 12 billion that we previously reported. That's as -- partly as a result of a slight improvement in yields, offset, of course, by the impact of impairment charge that we've made. So that brings that number down to GBP 11.9 billion. Net debt, we've already just discussed, facilities in place of GBP 3.6 billion. Business remains well funded. And the pension deficit, that's actually reduced from the half to GBP 634 million, reflecting actually an outperformance on our assets, in part offset by a reduction in the discount rate. But net-net, we've seen an improvement in our pension deficit as a consequence. Our guidance for the full year remains the same, so we expect our net debt for the full year to be around the GBP 2.4 billion level. And actually coming on now to some of the balance sheet metrics that we have made reference to. Again, very stable metrics across the board, across the last 5 years, both in terms of the lease-adjusted net debt-to-EBITDAR, a very stable performance and, indeed, a fixed charge cover that hasn't actually moved at all over the last 5 years. So we're maintaining a very stable balance sheet strength. So to summarize quickly. Obviously, we've seen the impact of deflation and the accelerating trends that we've seen in the industry, that's impacted our performance in the first half. But we still believe it's relatively strong performance given the challenging industry environment, reflected in the beat to consensus that we announced today. We still have great growth opportunities in our business in the nonfood, online, convenience and the bank. Great performance in the bank we're reporting today, resulting in a very strong multichannel offer and, of course, very much underpinned by our quality in our own brand and, of course, our strong values within the business. Key financial measures you'll see there. The like-for-likes, the profit, of course, and the charge in relation to the impairment on both the property pipeline and our stores and, of course, very stable balance sheet metrics. Really good improvement in working capital, really pleased about that performance. And property values just down slightly, pension deficit reduced and net debt in line with our expectations. In terms of guidance for the full year, clearly, Mike is going to come and talk about later on the investment that we're making in price in the second half of -- in fact, we've an annualized investment of GBP 150 million. But about half of that investment will take place in the second half of this year, so you'll have to adjust your numbers to reflect that. We're also saying that the outperformance that we've seen in the bank in the first half and, indeed, the outperformance that we've seen in relation to delivering cost savings in the first half, we don't necessarily expect to replicate that performance in the second half. So again, you'd have to adjust your numbers slightly. And as a consequence of those adjustments, of course, we're expecting profitability in the second half to be lower than the first. And with that, I'll hand you over to Mike to take you through the strategic review.
Michael Andrew Coupe: Good morning. So I've been in this industry for 30 years, and I have to say it's probably the most challenging time that I've seen in those 30 years. And actually, there's probably nothing that we haven't seen before, but what's different is that all of the things have come together. So all of the challenges of the market have come together in what I would call a perfect storm. So we've looked at our strategy. We've talked to our customers. We've talked to our colleagues. And broadly speaking, what they say is that they want us to be a better version of Sainsbury's. They want us to evolve rather than create a revolution. So what I'm going to talk today is how we make a better Sainsbury's, how we evolve to win. We've also made sure that we got the cash resources to be able to execute the strategy. So we're talking about reducing our CapEx, revising our dividend policy but also making sure that we take the cost savings in the business to ensure that we got the cash to execute the strategy and also to deal with the market conditions that we think we're going to be facing over the next period of time. And the last point David has already made, which is we have a fantastic management team. In the end, a lot of retailing is about strategy, but in the end, it does come down to execution and leadership. So I'm confident we've got the team in place. We've got the continuity of the team in place. They've helped me develop a plan over the last period of time to make sure that we execute well in the future. So let's talk a little bit about the market conditions. This chart reflects the market performance over the last period of time. Of course, the first thing to notice, broadly speaking, despite the fact that the population of the U.K. has grown by about 0.75% in the last year, the last 5 years, year-on-year, volumes have stayed static. And during that period of time, the industry has added about 3% more space. So almost an inevitable consequence of that is that the supply-and-demand equation has changed. That is a structural effect. Secondly, for the first time in probably about 10 years, we are seeing deflation in our industry or certainly no inflation. And that's as a direct result of some of the price investments that have been made in the industry but also because, in the end, commodity prices have fallen. So from a customer point of view, that's great news. If you look at fuel prices, petrol, customers are paying about 20p a liter or less than they were this time last year. So that's about GBP 4 or GBP 5 a week in that pocket week in, week out. But the way that money is being spent, if you look at other industries, is on nonconsumable, durables, cars, maybe a little slightly better holiday, maybe replacing the barbecue that they haven't replaced for the last 3 or 4 years, those kind of things. So we're seeing growth in other consumer areas of the industry, but that money is not coming back to the grocery sector. So again, I believe it's a cyclical effect, but that's another pressure on our industry. If we project forward, my own view, our view is that if you look at commodity price inflation or deflation, harvests this year have been pretty good. So you would expect that deflationary environment to exist for at least the next 12, probably 18 months. You would expect over the period of time that inflation will return to food prices. It won't be a flat 2%, almost certainly, it'll be spiky. It'll go up and down, but I would expect in maybe 18 months', 2 years' time, you would expect inflation to return to the market. And you'd also expect at some point -- I've been saying this for 3 or 4 or 5 years, at some point, volume growth will return to the market in the sense that there is a population growth in the U.K. There will continue to be a population growth in the U.K., and in the end, that's a driver of our industry. On the structural change, the fundamental structural change that we talked about before but is the key dynamic that's driving our industry is the fact that customers are choosing to shop more frequently. When they shop, they tend to buy less. And they have even more outlets available to them than they've ever had. So if you went back 5 years on average, the average customer would have had 3, 4 [Audio Gap] Three, 4 -- sorry, 3 or 4 shopping outlets that they could shop in. If you take today, it's probably more like 4 or 5. So the additional outlets has given customers even more choice in where they shop, and they are shopping around. They are more savvy in the way that they shop. And that is the structural change, the primary structural change in our industry, and we would expect that to continue into the foreseeable future. And this chart kind of throws out those market predictions for the next, well, almost 10 years, certainly 7 or 8 years. There's a few things I'll pick out from this chart. The reality is despite the fact that lots of people are writing about the death of the superstore, the reality is the majority of the customers the majority of the time for the foreseeable future will be doing their grocery shopping in large out-of-town superstores. It will be the bulk of the market, more than 50% of the market for the foreseeable future. However, you can't get away from the fact that the discounters will grow. You can take a point of view. Our point of view is that they'll probably get to around 15% of the market. Historically, if you went back to the early 1990s, that's broadly speaking where it got to, Kwik Save got to somewhere around 10%, 11% of the market, for those of you who were around in the early '90s. So we will see growth in discounters. And if you look at Continental Europe, again, it's around somewhere between 12% and 15% of the market in the most mature markets. But interesting, the next biggest chunk of the market is actually convenience shops. So convenience still represents a significant opportunity into the foreseeable future, and we believe that channel will grow as well online. So we will see a shift in the way that customers spend their money and shop. And if anything, that will drive the trend towards little and often shopping because that'll have you more outlets available to them. So this is a way that we're thinking about the markets. I'm going to explain this chart because it's slightly complex, but hopefully, it gives you an idea of the sort of depth of thinking that we've gone into in our business, and perhaps, it drives some of our thinking going forward. So along the bottom axis, broadly speaking, that describes the consumption occasion for the products that customers are buying. So if you go that way, the For Now bit, that's sandwiches. I'm going to buy and eat it almost immediately. The other corner, that's things like toilet rolls. It's something I buy and consume over a reasonable period of time. And at the other axis are things that I really care about, so they really matter to me. And the example I give as something in the top right-hand corner is our peak trading hour for Valentine's Day products is actually between 5:00 and 6:00 on the evening of Valentine's Day itself. So you can imagine all of those desperate males. They fall in the For Now, and it's a -- at least for most of them at least, I believe it will be a special event. So you will basically pay anything to get your 12 red roses for that particular purchase occasion. That's an extreme version of it. But you have to think of the products at the top right-hand corner as being absolutely special occasions, things that really, really drive people to want quality necessarily over price. But if you take a category like pet food, so for a lot of people, pet food would sit absolutely on the bottom left-hand corner of this chart. But actually, some people really care about their pets, really, really care about their pets and will pay a premium for pet food. And for them, it's a special product. It's something that I care about. It's a product that matters. So that would push that product up the sort of left-hand side of that chart. You can also think about the structure of the industry by using this chart, and it does explain some of the dynamics in our industry. So broadly speaking, supermarkets cater for the majority of shopping occasions. But if you think about online, actually, online trades, overtrades in the bottom left-hand side of that chart, by a factor of about 2. Well, as online develops, it's becoming more and more convenient, things like delivery passes, things like Click & Collect. So it's moving more and more to the right-hand side of the chart as you look at it. It also explains the growth of categories like Taste the Difference and, indeed, some of our competitors, M&S, because they very clearly reside in the top right-hand side of the chart. And the colors on the chart reflect the relative growth in the individual sectors. So bottom left-hand corner, relatively low levels of growth. Top right-hand corner, relatively high levels of growth. And of course, the discounters tend to sit sort of in the bottom center, and convenience stores tend to sit on the right-hand side of the chart. So hopefully, that gives you some flavor for how we thought about the structure of the industry. And the size of the individual boxes reflects the size of each of the individual sectors. And as I said already, the colors reflect the growth opportunities in the chart. So it's enabled us to be really thoughtful about how we develop our business going forward from a product, from a category and also from a format point of view. And we've used a lot of customer data to get to the supporting evidence to drive our business going forward. Now Sainsbury's has lots of strengths. We're building from a platform where we are recognized by our customers on a number of dimensions to be ahead of our major competitors, and I'm not going to go through the whole of this chart. I won't drain the slide, as they say. I won't go through all 9 of them. But the reality is that we're recognized for the values that we have within our organization. I'm not going to spend a huge amount of time on talking about our values, but you can take it as read that we will continue to invest in our values where it makes a difference to our customers, and we will do the right things for our customers, and we'll do the right things for our colleagues in the future. The middle box. We have a competitively advantaged set of stores, a store portfolio. Generally speaking, we have the rightsized stores in the right locations, and we believe that gives us a source of competitive advantage in the future. We're also recognized for delivering great service to our customers. Our store standards, very, very high and have improved year-on-year-on-year. We're rated by our customers, and we're rated by the industry in general for having the best store standards, and we will go on to maintain and improve those standards into the future. And in the bottom right-hand corner, we would argue that we know our customers better than anyone else, and that's driven our thinking in terms of how we develop our business in the future. So this builds on the chart earlier. And really, there are 3 chunks. It's a continuum of product, but again, it kind of expresses some of our thinking in terms of how we want to invest in our business going forward. So along the bottom, the importance of quality. Upper left-hand side, how much does it mean to me as a customer? So give the example of toilet tissue, commodity product and not a huge amount of engagement in toilet tissue as far as customers are concerned. You got the top right-hand side of the chart something like a roast joint for Sunday lunch. Quality really, really matters to customers, really, really matters. It really matters because it's the centerpiece of a meal occasion. It's the centerpiece of a meal occasion where you're going to be judged on the quality of that product. So that really matters. In the top left-hand side of the chart, brands. And by definition, brands have to have some level of emotional quality. Otherwise, they're just straightforward commodities. So if you think about the way that we're thinking about the business, broadly speaking, not entirely but broadly speaking, we want to invest in quality in the stuff in the top right-hand side of the chart. We want to invest in price in the stuff in the bottom left-hand side of the chart. And you want to make sure you're competitive in the stuff in the top left-hand side of the chart on brands. And that's our strategy in a nutshell, and I'll talk a little bit more in detail about how we're going to do that in the future. So we have a couple of examples. Strawberries, a very emotionally engaging product, one of our biggest-selling products actually during the summer, in fact, the biggest-selling product during the summer. And we've done a lot of work on creating exclusives varieties with our suppliers. We have the best-quality strawberries in the marketplace. It wasn't that long ago that actually, the U.K. strawberry season was only 10 weeks long. Now there's only 10 weeks of the year when you can't get U.K. strawberries, and we've invested in the technology and developing the technology to use LED lighting to be able to produce strawberries all year round from the U.K. We have a better product. We lower -- we have lower waste because we've improved the date quality or the date codes of those products. We've reduced the packaging in those products. And from a customer point of view, we have the best-quality strawberries in the marketplace. And we will continue to invest in the right way in product quality, and we're saying today that we're going to invest in the quality of 3,000 products over the next 12 to 18 months. On the other end of the spectrum, nappies, good example of an area that we're going to invest in price. And we're saying today that we're going to invest GBP 150 million in targeted price investment. So nappies, we have an under-trade. We only have 13% of the market against the market share of roughly 17%, so it's an area of opportunity for us. We know if you buy nappies, you'll buy a broader range of baby products in our stores. And we have a fantastic quality product developed through a long-term relationship with a particular supplier. So we've reduced the price of nappies. We've done that already. And actually, we now have the cheapest own-label nappies in the marketplace. And this is a really good example of what we would consider to be a targeted price investment. So we'll be spending that GBP 150 million on products where we know, for our customers, it makes a difference and that we believe that there's an opportunity to drive our business in the future. And we talked a lot about pricing and promotions. We simplified our pricing. We simplified our promotions. We've done a lot of work, which we've discussed before over the last 2 or 3 years, and we have much, much more stable pricing in our business on a week-to-week, day-to-day basis. We made Brand Match more focused, and we've talked and made an announcement that we're reducing, halving the number of Nectar points we're giving away. It's been slightly misreported. We didn't do that last week. We're actually not doing it until April, so you still get the same number of Nectar points until April, but we're taking that money and reinvesting it in targeted promotions for our customers, whether that's through the Nectar scheme or through other forms of direct marketing. So we're giving exactly the same amount of money back to our customers. We're just doing it in a fundamentally different way. And that's a big change for us, and it gives us a great opportunity of targeting our customers in the way that they want to be targeted. Let's just talk a little bit about the growth opportunity in nonfood. When I joined Sainsbury's, our clothing business was virtually nonexistent, and now it's grown like -- tops, it's doubled in the last 5 years, and it still represents a significant opportunity. And I'll talk a little bit later on about the opportunity in our space for clothing and, indeed, general merchandise. So we've had a knockout year, and we continue to grow those business, and they still represent a significant opportunity for us to grow in the future. Our clothing business, for instance, has grown by 13% year-on-year. And of course, we have other growth opportunities in our business going forward. John has already talked about the performance of the bank. A fantastic business. We've now taken full ownership. The #1 priority for the bank is to make sure that we get through the systems transition that we're going through. That's still going to take another 12 to 18 months, but we believe that, that represents a significant opportunity for this business into the future. And indeed, there are other investments that we've made like Mobile by Sainsbury's and, indeed, the Sainsbury's Energy business. So these are opportunities for us to develop our business and, indeed, utilize our space potentially differently in the future. So we're investing in quality. We're investing in price. We're continuing to invest in simplifying our pricing. We've also done a detailed review of our store portfolio, every single one of our shops, and we stress-tested them against a series of potential market scenarios. And the good news is that 75% of our shops, under any circumstances that we can think of, are in the right locations, brilliant located and, for the foreseeable future, will be great trading assets. And we believe our portfolio is competitively advantaged in the scenario that we're describing. But we're also aware of and need to address the fact that around 25% of our estate over the next 5 years, not necessarily today but over the next 5 years, is overspaced, and therefore, we need to utilize that space differently. We need to think of creative ways of taking those businesses forward in the future. Now there's also an important point about our large out-of-town superstores generally. We have a challenge to make them more convenient. So again, today, we're talking about how we might go about doing that. We need to make our large out-of-town superstores generally more convenient for our shoppers to get round, get in and out of, improve the layouts, improve the ranges and, indeed, use technologies to help them work through our stores. So that's a general point about superstores, and that's something that we'll be working on hard over the next period of time. But we also need to make sure that we utilize our space differently in the stores which are overspaced. And the good news is we got lots of opportunities to do that. So clothing and general merchandise, only 1/3 of our shops, 1/3 of our customers actually have access to our full clothing and general merchandise offer. So that represents an opportunity in the future. We've got an opportunity to roll out Travelex, the bank, in more shops. We have an opportunity within Mobile by Sainsbury's, so we only have a relatively small number of shops that has a mobile phone shopping. We'll roll that out in the future. And we've talked a little bit about utilizing that space with other third parties. So an example of that is Jessops or, indeed, the Timpson's concessions that we have in our stores. I'm not anticipating -- I've been asked the question this morning, I'm not anticipating that we're going to turn our stores into department stores. I don't think that's the right thing to do. But I think we have the right assets, the right assets to be able to utilize our space differently. And that's one of the things that we're working on hard in the future. So that's the big shops. Equally, the little shops represent a fantastic opportunity for us. We're opening 100 a year. We'll anticipate opening 100 a year into the foreseeable future. We believe there's an opportunity in smaller shops. Again, if you look at Continental Europe, 750 square foot shops do represent an opportunity for us, so we'll be trialing smaller shops, particularly in larger urban connovations. And we have some fantastic examples of very successful convenience shops, which are also larger-format, so we won't be restricted to just the 3,000 square foot model. We will roll out larger convenience shops and smaller convenience shops, and we think that'll open up a wealth of opportunities into the future. And of course, as John often reminds me, they're very accretive capital investments, so they're great investments for this business to be making into the future. And of course, online continues to grow, but just want to emphasize the point for us. Online is about serving our customers. We're not going to chase volume for the sake of chasing volume. We know for our customers, if they shop with us in our shops and they become an online shopper, they will buy more stuff overall. So 1 plus 1 doesn't just equal 2. It equals 2.5 to 3. So it's very important that we address our online offer to our customers. So we'll continue to work on making sure that we improve the performance metrics, that we improve our website, that we improve our freshness, that we improve substitutions. But we'll also continue to roll out and develop Click & Collect. We accept that, that's where the market is going to go over the time. And if I went back to my chart earlier, the online offer is moving more and more towards the convenience end of the spectrum. And we'll continue, broadly speaking, to pick out of our larger out-of-town superstores, which we think is a source of competitive advantage because it's another way that we can utilize our space for our business in the future. However, we are capacity-constrained in London, so we will build out a dark store in London over the next period of time. And we've also got clothing online trial, which has proved to be pretty successful, so we'll be rolling out clothing online over the next period of time. We thought we'd have to put a Netto slide in. Five trial stores, 1 last week, 3 this week. Heaton Park opened this morning. And we'll repeat what we've said already, this is very much at the trial stage. So far, so good. The fact that we've opened 5 stores before Christmas starting from scratch is a brilliant achievement by all of the teams involved. I'm sure some of you have seen the shops. I'm sure some of you have also commented on the shops, and we're very pleased by what we've seen on the ground and by the customer reaction. So we will remain -- or roll out the remainder of the stores, so we're committed to roll out 15 over the course of the year, and we'll see how it goes. But it hasn't escaped your attention. It certainly hasn't escaped our attention. That is one of the opportunities that we have to utilize our excess space differently. The first store that we opened was co-located with one of our shops in the same site. The store we opened this morning is actually in the same building, different entrance but the same building. And if you look at Continental Europe again, if we talk to our partners, Dansk, their large out-of-town superstores, their large out-of-town superstores and their discount stores can coexist, and it creates a more powerful offer for customers overall. And so without giving too much away, the early indications are that it's new business. It's new business to us. So that's a good thing. We believe, in the end, it will make our sites more powerful. The last thing about Netto is actually, there's a huge amount of shared learning. So I have to say, for all of us, for both them and us, it's been a voyage of discovery. And by the 2 businesses working really closely together, we've certainly had a chance to examine and understand their business model, and of course, they've had the opportunity of doing the same with us. And so there's lots of things that we've learned, lots of insights that we've learned from the Netto joint venture that we can roll back into our larger shops. I've talked about customer service already. We believe we said before that we run the best shops in the industry. We've reduced our gaps, increased our online -- sorry, our own shelf availability dramatically over the last 5 years. And whichever metrics you look at and whichever objective measures you look at in the industry, we're generally rated as delivering the best customer service. But we're not resting on our laurels. We know we have to continue to step on. So we're introducing a new on-shelf availability system, which will allow us to do a better job for our customers in the future, real-time analysis of where we have gaps. And we're continuing to invest in customer service, so we have a new EPOS system going into our stores. It's in trial now in 5 or 6 stores. And during the course of the next year, we'd expect to roll that out, and it will allow us to do a better job of serving our customers. And we're rated as #1 by our suppliers for retail execution, so we do what we say we're going to do from our suppliers' point of view. We'll continue to build on those strengths. It's a very important part of our overall proposition. And the last piece I wanted to talk about, and this is very much about gazing into the future, is how we are starting to think about how we join up our customer knowledge and how we do a better job through the use of technology of serving our customers' needs into the future. So on the left-hand side of the chart, we have lots of data sources in our organization, and we're gradually putting those together in a single view of our customers. And we believe that will give us the opportunity of serving our customers' needs better in the future. So helping them manage their budgets, helping them to manage your shopping lists. If you want to buy healthier products, helping them to do that. So on one side of the equation, we're joining our data sources together. But on the other side of the equation, we're providing more and more different ways of our customers shopping with us. And by providing them with a single sign-on and access to their own personal shopping list, they can start to think about how they might use their -- or buy their products differently in the future in the various parts of our business. And we believe that this technology is very powerful, and we believe over time this will allow us to compete even more with our competitors in the market overall because we have this data. It's unique to us, and the power of joining it together and helping our customers in the future is one of the key points of differentiation as we look forward. Not today but maybe over the next 2 or 3 years, you'll start to see developments in this area, and you'll start to see things coming through in a very different way. Few examples of where we're already doing some stuff. I've talked about clothing online. We've developed that over the last 9, 12 months. We're in trial. We're now in the process of rolling it out. For those of you who think about buying your Christmas products, we've set up an app to make Christmas ordering dead easy. So if you want to get your turkeys, freely download it onto your mobile phone. We now have entertainment on demand. We believe that we can join that together with our overall proposition in a different way than perhaps the way that some of our competitors do. And perhaps most powerfully is the in-store shopping app, which at one level is utilitarian. It allows customers to scan products as they go around the shops and to see how much they spend and to manage their shopping list. But we believe that ultimately is a very powerful mechanism for the way that we communicate with our customers. And we're in trial with the latest version of this in our Wandsworth store. And again, if successful, we'll be thinking about how we roll that out in the future. But the point I wanted to make on technology generally is all this technology is focused on making our customers' lives better, on helping them Live Well For Less, not a load of superfluous stuff over here but very much focused on driving, helping our customers live their lives better. To revenue strategy will, it's very straightforward. There are 5 elements to it. We know our customers better than anyone else. We'll invest in great-quality products. We are talking about investing in 3,000 products over the next 12 to 18 months and upping the benchmark in the quality of the products that we sell. We're also making sure that we target our price investment, GBP 150 million, in the right products and the right categories. We need to be there for our customers. We need to join together our offer in a fundamentally different way, but we need to make sure that all of the places that we serve our customers are convenient and easy to get around and that we recognize the fact that customers will shop very differently in the future. Our colleagues make the difference. Our customer service is absolutely paramount. We're not going to compromise our customer service through reducing our costs. We must, must, must make sure that we deliver customer service week in, week out, and we're doing all the things that we need to do to make sure that we enhance our in-shop availability and our customer service metrics. And at the heart of our business are our values. Our colleagues make the difference. Our values make us different. And we have underpinned our plan by making the right choices about financing, so we will lower our costs by GBP 500 million over the next 3 years. We've reduced our capital expenditure. And as the Chairman has already alluded to, we've amended our dividend policy in a way which we think is fair to shareholders to make sure that they receive the benefits and they get half of our overall earnings over the foreseeable future. So at this point, I'm going to hand back to John.
John Rogers: Thank you, Mike. So Mike's taken you through the outputs of our strategic review. What I'd like to do now is to take you through a few slides just to help you out in terms of guidance for your models as to what all that means. So we've talked about GBP 150 million of price investment. We said that half of that price investment will take place in the second half of this financial year, so roughly speaking, GBP 75 million or so. The remainder will take place in the first half of financial year '15/'16 such that the annualized investment in '15/'16 will be GBP 150 million. And of course, that will carry that forward for the following 2 years. Of course, when you add all of that number together, you get to a number about GBP 0.5 billion of overall price investment over the next 3 years, but we think it's more intellectually honest to talk about it as an annualized investment of GBP 150 million. We will work with our suppliers. Mike talked through a great example earlier on, the strawberry example, where we've worked with our suppliers to recover cost savings across our supply chain. And we will do more of that work over the next 3 years to recover that investment in price through the COGS line. Now that will clearly be phased later than the price investment itself, and you'll see the respective phasing of that over the next 3 years. But by '17/'18, we will have recovered the investment in price that we've made through savings in our COGS line through working with our suppliers. Coming on now to capital investment. This chart here shows the investment in capital over time. And you'll have seen that over the last couple of years, we have stepped off our capital investment overall year-on-year. And indeed, what we're announcing today is a further stepdown in capital per annum, so between GBP 500 million to GBP 550 million capital spend going forward for each year over the next 3 years. And indeed, our core CapEx-to-sales ratio will be around 2% from '15/'16 onwards. What's important to note as well is the shape of that capital spend is changing markedly over the next 3 years. So you'll see the proportion that's dedicated towards new space, supermarkets, convenience and extensions. You'll see that falling quite significantly over -- from where we are today towards the next 3 years. But clearly, we're maintaining our investment in areas like IT and technology, logistics and commercial initiatives so that we can provide a better service to our customers, make our stores easier to shop. And here's a summary of the new space. So we talked about the capital spend on new space. But in terms of what does that mean for the square footage that we'll be putting down over the next few years, you can clearly see that outlined in the slides. So in practice, we'll be adding about 500,000 square feet for the next 2 years and then just above 300,000 square feet for '17/'18. So a significant cutback in the amount of new space that we'll be adding going forwards. And again, you'll see that actually, most of that cutback is clearly taking place in supermarkets. So more than half of the space that we add over the next 3 years will be in the convenience space, which is, of course, where we see the most accretive returns. And in fact, if you look at the first half of this year, we've added less supermarket space than all of our major supermarket peers, demonstrating to you the step back that we've made progressively over the years in adding supermarket space. We will be doing 4 replacement schemes, and these are schemes that are -- 3 of those 4 are actually mixed-use developments. Some of you will have seen perhaps what we're doing, the developments happening for our Nine Elms store, for example, our Fulham store. These are opportunities where we'll be unlocking significant property profits over the next 3 years, so they're great-returning schemes for our investors. And we'll maintain our convenience pipeline of roughly 100 stores per year. Coming on now to cost savings going forward. We're talking today of cost savings of GBP 500 million over the next 3 years, so roughly between GBP 150 million and GBP 175 million of cost savings per annum over the next 3 years. And that's a significant step-on from the GBP 120 million, GBP 130 million or so that we've done historically. And indeed, I said this morning we'll be stepping up this year, this financial year to GBP 140 million. So you can see the natural progression that we're making in terms of delivering cost savings in our business. I've often said to you before as well that we generally have line of sight of our cost savings stretching out about 12, possibly 18 months or so. The exercise that we've undertaken in the last 3 to 4 months has been a really detailed analysis of our business. And we've now got line of sight over the next 3 to 5 years of the cost savings that we can make going forwards. So for this GBP 500 million, we are very clear as to where those cost saving opportunities lie in our business, certainly for the next 3 years. And as you can see from the chart, they are very much spread across the business, central operations, marketing costs, et cetera, et cetera, in our retail business, procurement, we've continued to deliver good savings through our procurement function. And of course, we've got a very good track record of delivery in this respect. We've talked a little bit about the balance sheet. We will maintain our balance sheet strength over the next 3 years. We've talked about how we managed the cash in the business, so we've sensibly cut back our capital spend. We're driving cost savings through the business and, of course, we've announced the changes to the dividend policy today, again, which I think reflects a sensible balance between rewarding our shareholders for owning our shares, at the same time, it's making sure we can conserve cash within the business to maintain our balance sheet strength going forwards. So expect all these metrics to remain stable over time. We've had really good progress made in working capital management, there may be a little bit more to go for, so we saw a GBP 300 million improvement in the first half. Some of that is temporal, but some of that is real underlying working capital improvement. And we can expect to see a little bit more coming through over the next 12 months or so. So in summary. Look, we do expect supermarket like-for-like sales to be negative for the next few years. It is a very tough industry environment, but we think we've outlined the strategy to you today that demonstrates we've got robust plans to address the challenge. We want to maintain and enhance our differentiated offer through our investments in price, GBP 150 million; through our investments in quality, 3,000 products; and through our investment in service, making it easier for our customers to navigate and shop our stores. We've got fantastic opportunities -- investment opportunities to continue to grow our business, whether it's online, convenience, the bank, great, great opportunities for us. And of course, we'll fund all of that investment through sensible management of our cash, so cutting back CapEx over the next 3 years, reducing our cost base and also delivering the COGS savings that I made reference to. So we'll continue to pay the dividend. We'll maintain our balance sheet strength, and we'll fix the cover on the dividend at 2x by paying out roughly half of our earnings to our shareholders. And with that, I'll just hand you very quickly back to Mike.
Michael Andrew Coupe: I think we covered the main bases, I'll just end up repeating what we've already said. This is about evolution, not revolution. It's about being a better us. We believe that we're structurally advantaged if we look forward. The next couple of years, undoubtedly, is going to be challenging for our industry. There is no doubt of that. But actually, we believe, in the medium to long term, we can build on our strengths and create shareholder value into the future. As John's already said, we made sure, though, we made the right choices about financing the business, not just to execute our strategy, but actually, we stress-tested the business against potential scenarios in the future to make sure that we've got the financial capacity to deal with whatever the marketplace throws us. And the last point I would make, I'll repeat what I said at the very beginning, which is in the end, my experience of retailing is it's as much about execution, if not more about execution and leadership than it is about strategy. And we do have continuity in our management team, a team that's bought into the plan, a great set of 161,000 colleagues and we can execute this plan over the next 3, 4, 5 years. Thank you very much for listening, and we'll go back to Q&A.
Michael Andrew Coupe: Say your name, company.
Bruno Monteyne - Sanford C. Bernstein & Co., LLC., Research Division: Bruno Monteyne from Sanford Bernstein. With the solid numbers this morning, the measures you've taken to improve the balance sheet strength, do you feel you've done enough to take the rights issue off the table for the next 6 months at least?
Michael Andrew Coupe: I'll let John answer that question.
John Rogers: Yes. And as Mike says, we've clearly looked at the business going forward. We've cast forward a number of different scenarios for the business, both upside and downside cases, reflecting what could happen in the sector, going forward. And we're confident today that -- we certainly don't foresee the need for a rights issue going forward.
Michael Andrew Coupe: Go on, John.
John Kershaw - Exane BNP Paribas, Research Division: John Kershaw from Exane. Just putting together some of your slides, and my math is a bit simple, but it strikes me that we're struggling with -- to get into positive like-for-like territory for the foreseeable future, perhaps comment on that. Because perhaps convenience can pull out where you're making comment on the superstore estate. But if I look at your slides for guidance, it looks like you've got, so over the next couple of years, GBP 300 million to GBP 450 million into price that you only gradually get back. So if we look out a couple of years, at the gross profit level, you're telling us maybe we've invested GBP 200 million. You've got your cost savings, but if there's no like-for-like, then basically, you're scoring a draw against inflation. So if I read your slides right, you're telling us that profitability could go down substantially from, say, high-600s to high-400s in the next couple of years.
Michael Andrew Coupe: I'll ask John to comment more specifically on it, but we're recognizing the fact that the market will be very challenging for the next 18 months, 2 years. And there are some market scenarios that you can play out that will be more optimistic. And indeed, there are some market scenarios that you can play out, which are less optimistic. But the reality is, it's going to be challenged for the next couple of years. And we're trying to strike the right balance between making sure that we've got the financial resources, but also are investing in the things for our future. Maybe John can comment on the specifics.
John Rogers: Yes. Just in terms of the specific guidance, I mean I hope we've been very clear in the guidance we set out today in relation to the price investment that we're making. I think we've been remarkably transparent, actually, in terms of the GBP 150 million, how that's phased, how we anticipate recovering an element of that over time, albeit with a slight lag. And we've been equally very clear about what we expect in terms of our cost savings year-on-year, so GBP 150 million to GBP 175 million of cost savings each year for the next 3 years. So hopefully, with that quite detailed guidance going forward, you can build all of that into your models and clearly come up with the consensus numbers that you'll come up with. But I think the guidance tells you the story.
Michael Andrew Coupe: Go. Just pass it on around. It's probably easiest.
Charlotte Edgar - Jefferies LLC, Research Division: Charlotte Edgar from Jefferies. John, could you just confirm the level of bonus accrual in the first half of this year and also what it was last year? And any expectation for that for the full year? And then just on that 25% of the store estate, could you talk a little bit about the geographic locations of those stores and the size of those stores, please?
John Rogers: So I'll pick the bonus accrual piece up. I think it would be wrong of me at this stage in the year to talk about our bonus accrual on behalf of our colleagues. What I can say, though, is that, clearly, last year's bonus will set the business at around GBP 80 million or so. And clearly, given where consensus is this year, vis-a-vis profitability for the business at GBP 677 million, I think it wouldn't be any surprise to say we're paying -- we're going to be paying a lower bonus this year than we paid last year. But I think it would be wrong of me, at this point, to give you detail -- set out detail as to what we've accrued for the first half. But clearly, though, what underlies your question, of course, is your quality of earnings piece. And we will clearly see benefit year-on-year in that context of reduced bonus payment to our colleagues.
Michael Andrew Coupe: And as far as the store portfolio is concerned, it's reasonably geographically spread. It's a slight simplification, to put it this way, but broadly speaking, and I think this is probably true across the industry, the larger the shop, the more challenged it is from a space point of view. So I'd say that's a gross simplification because there are other dynamics in play. But as I say, it's, broadly speaking, across our entire portfolio. It's not any particular geography. Shall we go there?
Michael John Dennis - Cantor Fitzgerald Europe, Research Division: It's Mike Dennis from Cantor Fitzgerald. Just on costs, I got 3 questions. Could you tell us what the first half cost growth was? Because you gave guidance of 2% to 3%. And I'm just also trying to read your charts, the GBP 500 million, it looks like half of it is retail. Given your comments on service, what are those retail cost savings that you're actually making within that, I guess, GBP 250 million? And given that Tesco gave us their head office cost of sales ratio at 1.9%, which was an incredible increase, what is your cost to sales in central head office costs?
Michael Andrew Coupe: I'll ask John to comment about the first bit. Maybe I'll -- and second and I can do the third bit, or not, as the case may be.
John Rogers: Maybe the cost inflation in the first half, we would set it around 2%, so the lower end of our 2% to 3% range, and that equates to cost inflation of around GBP 50 million or so in the first half. I'll comment on the head office costs in a way by not commenting, so we're not going to break out that ratio for you. And Mike, I don't know whether you want to come address the other question.
Michael Andrew Coupe: Yes. We're very passionate and conscious of maintaining our customer service, so that's our #1 priority. And as we've already said, we'll make sure that we improve our on-shelf availability and maintain our service metrics. The savings are across the broad portfolio, which I'm not going to go into now in any great detail. But it's not just around labor management. Things like energy savings will be good example where we've invested an enormous amount of money on lowering our energy costs over the last few years. And I think, again, we've commented before we actually have the lowest -- sorry, the largest solar array in Europe on the tops of our shops, and we will continue to do those kinds of things. So the John's point, it's a very detailed plan. We know where the money is going to come from, and actually, it's a lot of little things rather than 1 particular big thing.
John Rogers: I mean, I'd probably -- just to throw light on it a little bit, Mike, also if you look at our track records over the last 3 years as to where our cost savings have come from, GBP 120 million or so a year that we've delivered, you'll see from our analysis, historically, that quite a high proportion has come from the retail business. And yet, at the same time, I would argue that we have improved our in-store standards, we've improved our service levels in our stores, and that remains a differentiated part of our offer compared to our supermarket peers. So I think, in a way, we feel confident we can continue to take costs out of our business in the right way as we have done historically, and indeed, maintain and enhance the customer service in our stores.
Michael Andrew Coupe: Do you want to maybe go along the line. It's probably easiest from a microphone point of view.
Niamh McSherry - Deutsche Bank AG, Research Division: Neve McSherry, Deutsche Bank. I have 2 questions, please. The first one is on the slide you've presented, the longer-term grocery market growth volume and inflation, and it would suggest that you've got another 2 years -- or you're expecting another 2 years of flat volumes and then volumes to recover. I know you've talked many times about wastage taking volume out of the market. Do you still think that it is wastage that has volumes below normal? And what is it that gives you the confidence to expect volume to return?
Michael Andrew Coupe: Yes, I gave an overall view. I've said, personally, for a number of years, I would expect volume growth to come back to the market, and I've been woefully wide of the mark. So the reality is I'm not calling it anytime soon because I've been proved wrong on numerous occasions. You have to believe, if you look at the historical norms, if you look at the fact that there comes a point where it's quite difficult to save waste, generally, that volume growth will return to the market and it will return, broadly speaking, along with the population growth. Again, if you look at the historical norms, as grocery markets come out of recession, again, you see 2 effects: one is a return to volume growth; and secondly, a sort of general movement of up-trading, so people buy, kind of, more expensive stuff. As far as inflation is concerned, I think it's a cyclical effect in the sense that we are seeing last year high inflation followed by a very good crop and, therefore, against the previous year, deflation. The harvest this year, as I've said, will be probably quite good, looking at the weather. But you would expect, in the end there are -- food resources are scarce in the world, and we have a population that's growing. You would expect inflation, over time, to return to the market. Now I don't think it's a flat 2%. I think it'll be volatile, but again, if you look at the historical norms over a 25-year period, it's kind of 2% or 3%. Does that help?
Niamh McSherry - Deutsche Bank AG, Research Division: The second question was actually about the H2 like-for-like guidance and price investment. So the GBP 75 million price investment in H2, can you give us an idea of how that compares to H1 in terms of price investment? And does that imply that you expect volumes to improve in H2 simply because your guidance for your like-for-like is flat?
Michael Andrew Coupe: I mean, you can assume that the price investment for H1 is in the base profitability, so it's probably easier to explain it that way. And effectively, the GBP 75 million you're talking about will be in half 2 and will be a material investment from a product and price point of view. And you can assume, therefore, that our guidance would imply some level of underlying volume recovery because the arithmetic doesn't work unless you work that through.
John Rogers: And actually, it's probably important to point out that as we sit here today, our price position versus our peers is the best that it's ever been. And I think that's been confirmed by a number of your pricing surveys that have been published over the last few months or so. So the announcement of the GBP 150 million investment in price today is a further step on in improving that overall price performance.
Michael Andrew Coupe: This side of the room, over there. Pass it down the row.
James Anstead - Barclays Capital, Research Division: James Anstead from Barclays. Just a follow-up on that question from -- or the comment from John about the price position being as good as it's ever been. Do you think your price perception is as good as it's ever been? That's one question. And the 2 I was actually going to ask were, I mean, you've been very specific about the GBP 150 million price investment, but you've also got a kind of catch-all in your guidance saying that you will remain competitive on price. I guess those 2 things could be incompatible at some point, if other people do move. And clearly, there's at least 1 player that might be thinking about that right now. So to what extent have you taken the view on what other people might do in that GBP 150 million number? And a small follow-up, what should we be, not talking about sale and leaseback, but in terms of asset divestment in the next couple of years, what kind of inflow should we be expecting from some of the stores you might not be -- or the sites you might not be developing or these mixed-use schemes that could be quite profitable? What should we expect in the cash flow?
Michael Andrew Coupe: So the first point, our price perception relative to our grocery peers has never been better, so the reality -- the pricing reality and the pricing perception are correlated. We're very well aware that there might be somebody limbering up in the changing room at the moment, and therefore, our thinking does take into account making sure that we got the resources to deal with that. But at the moment, we don't know what they may or may not choose to do. What we're focusing on today is making the right investment choices for our customers. And in the end, we know the places that we need to make those price investments. It's very specific. It's at a product level, it's not at a category level. It's not scatter gun. And so we're making the right choices for our customers. And it's impossible to predict what's going to happen in the market. If I asked you 12 months ago to predict what's happened in the last 12 months, you would've said I was completely bonkers. So the reality is that none of us know how it's going to play out over the next period of time, but we'll focus on doing the best job that we can for our customers.
John Rogers: And I think, just to build on Mike's comments on price perception, I mean, he's absolutely spot on that our price perception has never been better in the market. That said, though, I think there is still a small gap between our price perception and our price reality. And that presents, in my mind at least, a fantastic opportunity to close that gap because, of course, you get that for free. So I think there's still opportunity to move our price perception over time. We've done a really good job of improving our price perception, particularly through dynamics such as Brand Match, but there's still more to go, and that opportunity comes for free. In relation to your question on asset divestments and property profits through mixed-use developments, I think you could assume roughly a GBP 40 million, GBP 50 million cash benefit through asset divestments over the next 2 to 3 years per annum as an indication. And in relation to property profits for the mixed-use development, again, you could assume about GBP 150 million of property profits over '15/'16 and '16/'17 from the various mixed-use schemes that I talked about earlier on, so Vauxhall, Fulham, Greenwich, et cetera.
Michael Andrew Coupe: I think it was Clive next, [indiscernible] microphones, pass it down the row.
Clive Black - Shore Capital Group Limited: Couple questions, if I may. First of all, if you're expecting negative like-for-likes for a few years, which I take it is more than 2, and a declining contribution from new space, for your costs to be broadly matched in time by your initiatives. Firstly, there's likely no earnings growth for the foreseeable future from the group, but what scope should we have to have confidence in the present carrying values of your assets? So will you be sitting there in 2 years' time writing it down even further? And secondly, Mike, I was interested in your comment about strawberries. Unfortunately, I don't eat enough strawberries and drink too much, but in terms of your supply chain, I'd be interested to know where you see costs coming from your supply chain. And in terms of your competitiveness, to what extent do you think the limited assortment discounters piggyback off your supply chain? And what, if anything, can you do about that?
Michael Andrew Coupe: Well, that was about 10 questions, wasn't it? So I think we've commented in our last joint comment more specifically on earnings growth. I mean we are facing the reality of the market that we're in. And we've described it already, the next couple of years are going to be extremely tough, and we have to make sure that we put in place the right investment program to do the right things, to make sure that we're on the winning side as we look forward. I'll ask John to comment about the carrying values of assets. On strawberries, specifically, it's a great example where we're able to reach through our supply chains, and we are very conscious of protecting our intellectual property. So certainly, one of the things that we have changed in our thinking over the last period of time is making sure that we got our arms around the supply chains that really count in our business. And they're in the, broadly speaking, the added-value fresh food areas, if you want to be straightforward about it. And if you take the strawberry relationship as a good example, it's an area where we have a one-on-one relationship with the suppliers in that sector that we've invested in technology, which is effectively our technology, our intellectual property to make sure that we can do a better and better job of providing great-quality products and reduce the costs in our supply chain. And in the end, the cost of goods benefits that John's referred to in the guidance are derived from those added value one-on-one style supply chains.
John Rogers: Just to build on that slightly. I mean, I think we've been very clear on the guidance going forwards. So we do expect it to be challenging like-for-likes. Whether it's 2 or 3 years, who knows? But it's certainly for the next 18 months to 2 years or so in our supermarket estate. But we've also got to remember that we've got some fantastic investment opportunities in things like online, in convenience, in our nonfood offer, in the bank, and of course, growth in those areas will help offset some of that challenge that we see within our supermarket business. You talked about cost inflation. I think our cost savings, over time, will outstrip cost inflation, so the step-up from the GBP 120 million to GBP 130 million of savings a year to GBP 150 million to GBP 175 million a year will outstrip the cost inflation that we see in our business, so that will help again. But again, I think we've been very detailed, very specific in that guidance to allow you to -- for your models to project forward the future earnings of the business. In terms of your question around sort of the carrying value of our assets. Clearly, when we've made the impairments that we're announcing today, we have cast forward where we think the industry will go over the next 5 or 10 years in making that impairment. So and I think we've taken a very sensible, a very prudent view as to what was going to happen in this marketplace over the next 5 or 10 years. Of course, if things got significantly worse than where we are projecting things today, then we would have to revisit that analysis. But the analysis that we've done, the fact that we are factoring in the challenging like-for-like in the supermarket sector, going forward, I think properly reflects, sensibly reflects where the market is going, and it's sensibly already factored into the numbers that we're announcing today. So I'm not foreseeing the need to have a drip feed of asset write-downs, going forward.
Michael Andrew Coupe: And I'll just reinforce that point. Throughout this process in the last 3 or 4 months, we've absolutely held the mirror up to ourselves to make sure that we're facing the reality of the market that we're in and that we're making the right choices today. And of course, that then leads to -- actually, you could view those under-spaced stores or over-spaced stores as opportunities, so there's both sides to argue the case.
Jaime Vázquez - JP Morgan Chase & Co, Research Division: Vázquez from JPMorgan. Just coming back on the cost. So you have savings of GBP 75 million, you have the inflation of GBP 50 million, but then you have, separately, the costs attached to the new space. Can you tell us if the absolute cost base increased in the first half or was it flat or what was it? And whether this cost definition includes depreciation and rents or is it before those 2 lines? So that's the first question. Second one, talking about depreciation. Can you provide the depreciation of the bank in the first half and the depreciation savings from the write-down, going forward, next year's depreciation charge? And finally, the percentage of your selling area that is freehold, please, an update on that, including the convenience stores and the total selling area. And also, excluding any store that you pay rent on, so for example, the Scottish partnership assets and also the JV assets.
Michael Andrew Coupe: Very happy for John to answer all of those questions.
John Rogers: You might have to repeat them.
Michael Andrew Coupe: I was going to say, you might not be able to answer all of those questions.
John Rogers: I've been trying to write those down, so you might have to repeat some of them, but I think I've got most of them. So in relation to whether our costs that I've made reference to includes the rent or the depreciation, it includes the rents, but not the depreciation. We're seeing rent and inflation in the first half of around 2%. I think you asked a specific question about depreciation of the bank, is that right? So I'm not going to break that detail out for you today. You asked a question on the benefit that we would see through the asset impairment on depreciation, going forwards, and I would put in your models an annualized benefit of the order of GBP 15 million also as a consequence of the impairment that we've made. And I'm really sorry, but I didn't pick up your last question, sorry.
Jaime Vázquez - JP Morgan Chase & Co, Research Division: The percentage of your selling area that is truly freehold, truly meaning no rental payment of any sort, Scottish partnership and JVs, kind of.
John Rogers: Yes. So if you looked at it -- so we report in the past a freehold-leasehold split of 60 -- well, we always say we want to be between 60% and 65%. The current ratio is set at 61%. Now that includes -- that treats the joint ventures as 50-50. So we take -- we assume, effectively, half freehold, half leasehold in that analysis. If you stripped out those joint ventures from that 61%, you would get to 57%.
Jaime Vázquez - JP Morgan Chase & Co, Research Division: And that excludes the -- Sainsbury's local estate?
John Rogers: That's correct. Yes, that's just purely the supermarket estate. So the Sainsbury's local estate clearly is predominantly leasehold, so that would be about 95% leasehold, 5% freehold, so that should give you a bit of a flavor. So the convenience is 95-5, the supermarket business; 61% if you include the joint ventures; 57% if you split out the joint ventures.
Jaime Vázquez - JP Morgan Chase & Co, Research Division: That includes the Scottish partnership?
John Rogers: Correct.
Jaime Vázquez - JP Morgan Chase & Co, Research Division: Sorry, going back to the cost question. Did costs go up or down in absolute terms in the first half? Including space-related cost additions.
John Rogers: Yes. So costs, obviously, would have inflated by 2%, as we've talked about, and we saved, overall, 75%. But cost net-net, would have gone up slightly.
Sreedhar Mahamkali - Macquarie Research: Sreedhar Mahamkali from Macquarie. Three questions, as well, starting on Jaime's point about depreciation and rent. If you look at first half movement, it looked like to me the 30, 40 basis points decline in margins is all due to asset cost depreciation and rent. I hear you in terms of you will probably save a bit of depreciation going forward, with the CapEx ramping down. But should we be expecting 20, 30 basis points headwind just purely from leverage from these 2 fixed costs? Not for the second half and perhaps into next year, on top of the price investments that you're talking about. That's the first one. And secondly, the GBP 150 million you're talking about, why is it the right number? So if you can just talk us through the thinking behind it, how many SKUs were involved in getting to GBP 150 million? Are you able to give us any sense of what that does to your pricing versus market or versus where you are, perhaps? And third one, just coming back to the estate and impairments today. I mean you've talked about 25% of your larger stores potentially being over-spaced, and yet you've taken only impairments on probably about 40-odd sites. Agreed, there is probably not necessarily a direct correlation between the 2, but just explain the thinking to the big gap between the 2. And finally, just on the estate, a very small question in terms of age of these stores, the 40 stores that you've taken impairment, are they recently built, within last 5 years, 10 to 15 years, et cetera? That will be helpful.
Michael Andrew Coupe: Well, John can start on depreciation and rent, and I'll come back on price investment, and that we can cover off the last 2. How about that?
John Rogers: So in terms of depreciation and rent, just -- I hope to give you a little bit of flavor, so we'd expect, for the full year, a depreciation charge in the order of GBP 550 million; that's depreciation and amortization of around GBP 550 million, GBP 560 million. So GBP 550 million depreciation, GBP 10 million, roughly, on amortization. And for '15/'16, we'd expect a depreciation and amortization charge of around GBP 570 million, so that'll give you a bit of a flavor as to where we expect to see depreciation go over the next few years. In terms of rent inflation, again, I think we've consistently seen rent inflation in the order of 2% or so per annum, and I think that type of inflation level, going forwards, is a sensible number. What I would say is I think, going forwards, we will rely less on sale and leasebacks going forward. And so I don't think you'll necessarily see an uplift in rent as a consequence of a significant sale and leaseback activity. I think we may see a little bit of sale and leaseback activity in the second half of the year, but going out into future years, I think you will see less and less. So hopefully, that will give you a bit of a flavor as to how project forward your depreciation and your rents.
Michael Andrew Coupe: I mean, arithmetically, you could do the sums yourself, it's roughly 1% reduction in prices, so it's pretty straightforward in that sense. Obviously, we didn't do a good enough job of explaining the slide. Broadly speaking, we're talking about investments in the commodity areas within our business because we believe that's where customers care most about price. And those investments will be targeted, so we're not going to go into any great detail today because, clearly, it has a level of commercial sensitivity, but I did try and use nappies as a good example of an area that we've made an investment. Areas that we under-trade will be a good way of thinking about it. Areas where we believe that investment in specific products will bring more of the basket with them, and nappies is absolutely in that sweet spot. If you're able to bring the nappy purchase, then customers will come and buy other things, whether it's baby clothes, whether it's baby wipes or baby food. So that's not just about that single product, it's about other things coming with it. So we've been very thoughtful about it, and there is a detailed plan that underpins it. But I am by no means going to sit here and say what the products are because I'd be giving far too much away.
Sreedhar Mahamkali - Macquarie Research: [indiscernible] SKUs are involved, is it 2,000, 10,000?
Michael Andrew Coupe: We're not going to talk about number of products. But as I say, if you go back to my charts, generally speaking, the bottom left-hand side of the box, generally speaking, in categories where we under-trade, but not just blanket investment-specific SKUs.
John Rogers: In terms of your question around the overlap of the 40-or-so impaired stores and the 25% of our estate that we consider to be -- where there's underutilized space going forward potentially, obviously, that represents about 150 stores. Clearly, there's going to be an element of overlap and correlation between those. So within that 150, most of those 40 sites you'd expect to see. But it's not a direct correlation because one is an accounting exercise looking at marking down the carrying value of those assets in our books, the other one is a very commercial exercise looking at how we're going to deal with the challenges that the supermarket estate faces going forward. In relation to the aging of the stores, the 40-odd stores in the impairment analysis, so there were 40 sites, around 10 of those, we would say, were investments we made in the last 5 years. But actually, in practice, if you look at that impairment across our stores, it is a fair reflection across our store estate in terms of both size, geographic location and, of course, age of our estate.
Michael Andrew Coupe: Shall we go across the...
Robert Joyce - Goldman Sachs Group Inc., Research Division: Rob Joyce, Goldman Sachs. Just to carry on Sreedhar's final question on the impaired stores. Focusing on the 40 sites you chose not to develop, can you give us a comment on the average age of those sites? Also, can you also comment on what's the alternate use you're valuing them under now? Instead of to be developed as a supermarket, on what kind of value per square foot that gives you for those sites? The other one is just yes, in terms of the depreciation in the CapEx, going forward, how would you square, kind of, some growth going forward with investing below depreciation over the longer term?
Michael Andrew Coupe: I'll let John answer all of those questions. Thank you.
John Rogers: So on the 40 impaired property pipeline sites, what is the age of those, I mean, the reality is they will vary from 2 to 3 years to 10 years. I mean, the one thing that, obviously, you guys will be familiar with that many stores in our pipeline take 10 years to come to fruition. And indeed, that's one reason I think why the industry has taken a while to slow down its new space because you can't turn these pipelines off overnight. So when you look at those sites that we've impaired, some of them will be things that we've worked on within the last couple of years. Other stuff will be stuff that's been in our pipeline for years and years, 10 -- sometimes even more than 10 years. And a great example, actually, is the store we've opened this year, Wolverhampton, which was a decision that we took probably 12, 13 years ago, and it's taken us that long to get it to a point where we can open the store. That's just the nature of the property sector. In terms of alternative use value, so if you look at the pipeline stores that we've written down, they -- pre-impairment, they would sit in our books at around GBP 380 million, GBP 390 million or so, so you can adjust -- you can see that we've written off circa GBP 290 million or so, so indication as to the alternative use value for those sites. And I think your last question was on how can you justify paying or spending less CapEx than you'll depreciate.
Robert Joyce - Goldman Sachs Group Inc., Research Division: [indiscernible]
John Rogers: Yes, I mean, I understand that's one way of looking at the analysis. But the reality is, as we look at capital spend in relation to -- on a very commercial basis, so what opportunities are there to deliver return enhancing investments for our shareholders. And if we identify those opportunities like convenience, like the bank, then we'll make those investments. And at the same time, we refurb our estates in a way that we maintain our service levels to our customers. And so going forward, we'll have a very sensible reinvestment back into our estate to ensure that we can maintain those service levels.
Robert Joyce - Goldman Sachs Group Inc., Research Division: Just one quick one on the property freehold, how much of the freehold stuff is left within the M25?
John Rogers: We wouldn't want to break that out in detail. Obviously, we over-index in our stores in the South and Southeast, and so therefore, we benefit from perhaps high property values in that part of the country. But we wouldn't want to break out that level of detail in terms of valuation.
Michael Andrew Coupe: I think -- just a comment. I think if you looked at the historical average gestation period for a store, it's about 5 years. So that, kind of, gives you a flavor, that's how long it takes to go from sign-off to ultimately buildout and opening. So I would suspect that would answer your first question. Do you want to pass along the row?
Bruce Hubbard - Odey Asset Management LLP: Bruce Hubbard from Odey Asset Management. It's not a surprise that your quoted competitors haven't shown us any switching data for ages. As you say, it's all about execution. The figures for you roughly show you gaining about 1 percentage point funded by Morrisons and Tesco and losing a bit more to Aldi and Lidl combined. I've got 2 questions. The first is this does your playbook that you're articulating here for the next 2, 3 years include the assumption of continued losses by Tesco and Morrisons and continued outperformance on execution? And two, do you think about 150 bps a year is enough to stop those flows into the discounters? And is that your ambition?
Michael Andrew Coupe: We assume that we will continue to outperform the market, so by definition, that means our big 4 peers. And in effect, that's what we've achieved over the 10 years, or certainly 8 of the 10 years I've been in this job, so also in this company. So yes, the short answer to your question is yes. And of course, we wouldn't be proposing the actions that we're taking today if we didn't believe, in the round, that would be the case, and indeed, to use your analogy, would not stem the flow from us to the discounters. So the reality is we would look to outperform the market for the foreseeable future and making the right choices to be able to do that. I think the switching data per se is quite dangerous. It is based on a relatively small base, so you just have to be slightly careful to read too much into it. And we have commented before on what we believe to be the accuracy or otherwise of the Kantar data. So just be slightly careful in the way that you treat it.
Bruce Hubbard - Odey Asset Management LLP: Hats off. I think I heard you say that about 1 percentage point price cut per annum is enough for you to fulfill your ambition to stop the flows to discounters. Is that correct?
Michael Andrew Coupe: Well, it's a combination of all of the things that we talked about. It's not just about price cuts. It's about investing in quality. It's about making our shops more convenient. So it's a balance of all of those things. And we believe, in the medium to long term, that will allow us to outperform the market. Dave, I can't see you. You're hiding.
David McCarthy - HSBC, Research Division: It's Dave McCarty, HSBC. I just want to carry on from Bruce there and point you talked about earlier. You've been winning market share and outperforming the quoted -- your quoted competitors. And you've also talked about price, your price position, never been better. You talk to your customers a lot. So how much of your outperformance has been due to your improved price position? And if you were to lose some of that price position, would it be a strategic concern to you, are you going to defend your sales or defend your margin if you come under attack? The second question goes back to leasehold freehold. You're changing your opening program and you're opening more convenience stores, which, I think, tend to be more leasehold than freehold. So over time, your freehold participation is going to be -- is going to come down and it's going to come below that 60%, 65% figure you've talked about. So what are you going to do about that? Are you going to say to us, "Actually 55%, 65% is the new figure." Or you're going to go back and try and buy some of your leases back?
John Rogers: So to make sure I'll answer that one first, and then Mike will comment to the price positioning one. In relation to the 60% to 65% freehold-leasehold mix, we've always been very clear that, that only represents supermarkets. And so we've always been very clear that, that excludes our convenience business, which as you rightly highlight, Dave, is predominantly a leasehold and that's always been the case. In relation to the metric of freehold leasehold on supermarkets, as I said, it's currently at 61%. And if you project that forward, based on our assumptions over the next 4 to 5 years, on the grounds, I've just said that we're not -- we don't anticipate doing a great deal of sale and leaseback over the next 4 or 5 years, that measure will remain broadly between 60% and 61% over the next 5 years or so. Clearly, you're absolutely right, though, that if we continue to add convenience space, which is predominantly leasehold, and if you look to the measure in totality, then -- and we never provided this figure, by the way, in terms of freehold-leasehold split, including convenience, then clearly, that measure would increase over time. What's relevant here, though, is actually, more importantly, is the balance sheet strength. And the measure that we focus on is the lease-adjusted net debt-to-EBITDAR. So that measure will reflect any leases that we have on our books. And what we said very clearly today is we expect that measure, over time, to remain stable. And that's as a consequence of striking the right balance between CapEx, cost savings, dividend and so forth. So hopefully, that gave you a little bit of flavor in answering your question.
Michael Andrew Coupe: And the short answer to your question is, yes, we will maintain our price position. We think it's very important, so we're making the price investments that we were talking about today. And we will continue to fight toe-to-toe with whatever comes to us in the marketplace. And we have deliberately set out, as we've described earlier, to make sure that we got the cash resources to be able to do that. Of course, also implied in your question and, some extent, the question before is an outperformance and actually, relatively speaking, our outperformance relative to our other quoted peers has never been wider. So in reality, our ability to invest against them and our ability to maintain our overall price position is as good as it's ever been. We accept the other dynamics that have already discussed in the room, but as I say, we will maintain our price position and we will fight toe-to-toe and make sure that we've got the cash resources to do that.
John Rogers: We probably have time for 1 last question. John, I think over here.
Michael Andrew Coupe: You've had one bite.
John Kershaw - Exane BNP Paribas, Research Division: And I still don't what the answer is, so I'm coming back. Just before that, though, perhaps, just to be clear, have you already made some of the GBP 75 million investment as part of your new marketing program that you've released about 3, 4 weeks ago now? Or is this money still to be spent? First question. Second, just if you -- how of it takes 5 years, on average, in the pipeline? How much store estate have you got left that hasn't been written down? If you got 40 in the pipeline you've written down, how many are still there of a superstore nature? And then just finally, back on my first question at the beginning. On the one hand, it sounds like you've got enough to protect market share and gain from custom to protect profit. And then if I look at back at your slides and the bridge of incremental GBP 150 million price investment per annum and the delaying -- offsetting that in your cost of goods sold, it still feels to me that your profitability will be going down sequentially for the next few years. Have I misunderstood those slides or not?
Michael Andrew Coupe: I'll ask John to comment on the last 2. And I'll comment on the first. The reality is I've given 1 specific example. We have made a little bit of price investment so far, but not a lot, and it won't be material in any of the numbers we're talking about today. It would have happened after the end of the financial half, so this is all new money to be spent in the balance of the half.
John Kershaw - Exane BNP Paribas, Research Division: As in, in-store today? We went round the store today, would we see...
John Rogers: No. Not as in, in-store today, as in to come.
John Kershaw - Exane BNP Paribas, Research Division: Clear.
John Rogers: Yes. I mean, just to be clear that GBP 75 million is all new money, as all to come in on stores. On the store estate, what's left in the property pipeline, we probably got on the order of 30-odd schemes in the pipeline today. Of course, that includes the 8 supermarkets that we'll roll out over the next few years or so, so that'll give you a bit of an indication as to where we are. And it's important to point out that, that's a significant step down from where we would have been 3 to 4 years ago. So if you'd asked me that same question 3 to 4 years ago, we would've had about 140, 150 schemes in our pipeline. So we have responded very proactively over the last few years in taking stores -- taking some of the schemes out of our pipeline. We're left with around 30-odd schemes, including the 8 that we're going to roll out in the next 3 years or so. And I'm not sure there's a lot more we can say about profitability. I think it would be wrong at this stage to provide clear -- absolute profit guidance over the next 2 to 3 years because there is going to be uncertainties in the market going forward. As least of which we've already discussed, is what competition do vis-à-vis pricing in the market. What we have done, though, today is it's been absolutely crystal clear, in relation to clear guidance on price investment of GBP 150 million, clear guidance on our cost savings, clear guidance on our capital savings and clear guidance on our dividends, which I think, dare I say it, does stand us out from the crowd in relation to the detail of that guidance. And I'll leave it up to you to work that through your models.
Michael Andrew Coupe: Okay. I think that is it. So thank you very much.